Operator: Good day, ladies and gentlemen, and welcome to the Coupa Software First Quarter Fiscal Year 2021 (sic)  Earnings Release Conference Call. At this time, all participants are in a listen-only mode. At the conclusion of our prepared remarks, we will conduct a question-and-answer session. . As a reminder, this call is being recorded.
Steven Horwitz: Thank you. Good afternoon and welcome to Coupa Software's first quarter conference call. Joining me today are Rob Bernshteyn, Coupa's CEO; Todd Ford, Coupa's, President, Finance and Operations; and Tony Tiscornia, CFO. Our remarks today include forward-looking statements about guidance and future results of operations, strategies, market size, products, competitive position, potential growth opportunities. Our actual results may be materially different. Forward-looking statements involve risks, uncertainties and assumptions that are described in our most recently filed 10-Q. These forward-looking statements are based on our beliefs and assumptions today, and we disclaim any obligation to update any forward-looking statements. If this call is replayed after today, the information presented may not contain current or accurate information. We also present both GAAP and non-GAAP financial measures. A reconciliation of certain of these measures is included in today's earnings release, which you can find on our Investor Relations website. A replay of this call will also be available. Unless otherwise stated, growth comparisons are against the same period of the prior year. As a reminder, we'll be conducting an Analyst Day on July 15th starting at 9:00 a.m. Pacific, noon Eastern and we'll be doing so in a virtual setting. The registration site will be up on the Coupa website starting July 1st. With that, I’d now like to turn the call over to Rob. Rob?
Rob Bernshteyn : Thanks, Steven. Hello, everyone, and thank you for joining us today. We delivered another very strong quarter, thanks to the increasing importance of business spend management for leaders across all industries, and strong execution by our team. As organizations get on with the work of building back better, they're increasingly turning to us as a trusted partner. Our financial performance reflects this dynamic. This quarter, we delivered $167 million in revenue, 46% calculated billings growth and our 12th consecutive quarter of non-GAAP profitability. We also continued to see meaningful growth in our sales pipeline. Probably today, our cumulative spend under management is now nearly $2.6 trillion. And we believe the success we've had is validating not just our performance, but of our broader vision of business spend management as a critical category onto itself. 
Todd Ford: Thanks, Rob, and good afternoon, everyone. As Rob noted, we began fiscal '22 by delivering strong results for the first quarter. Although the global business and economic environment is not yet back to pre-pandemic norms with many employees in the global economy still working remotely and business travel still largely on hold, we continue to see signs of improvement in Q1, and we expect this trend to continue during the year. Transforming business spend management has become a critically important objective for leaders who realize they need to build long-term agility and resiliency in their organizations. The significant investments we made during the pandemic and our clear leadership position in BSM leave us uniquely positioned to partner with these customers for success. Let's now review our Q1 results. Q1 was a strong quarter across the board. Calculated billings were $149 million, up 46% year-over-year, driven by continued steady improvement from a go-to-market perspective coming out of the pandemic, combined with strong execution from both our enterprise and mid-market teams. The billings contribution from LLamasoft for Q1 was approximately $18.5 million. This $18.5 million represents all LLamasoft billings for the quarter, including new business and professional services. Total revenue for Q1 was $167 million, up 40% year-over-year. Subscription revenue was $140 million, up 33% year-over-year. Given the impact from the pandemic last year, revenue growth will naturally lag billings growth. Turning to gross margin. Our first quarter non-GAAP gross margin was 69%, well above our guidance of 65% to 66%, but still below historical norms of 70-plus percent as we continue to focus on synergies from the LLamasoft acquisition. As we noted last quarter, given the size of LLamasoft, we expect to experience meaningful gross margin pressure for approximately all of fiscal '22. Now let's look at our Q1 results of operations. Our first quarter non-GAAP operating income was $7 million or 4% of total revenue. Non-GAAP net income was $5 million or $0.07 per share on approximately 77 million diluted shares. Cash at quarter end was $600 million, a slight decrease from $606 million at the end of last quarter. During the quarter, we paid approximately $45 million in net cash for the acquisition of Pana, which was an all-cash deal. This was almost completely offset by cash generated from the business. Q1 operating cash flows were $32 million, and adjusted free cash flows were $30 million. We also generated approximately $13 million of cash from financing activities. In summary, Q1 was a strong quarter across the board. In fact, while Q1 is typically a seasonally lighter quarter, our new business more than doubled compared to the same period last year. We continue to pursue winning this market assertively with a strategy of disciplined growth. Looking at the Rule of 40 on a trailing 12-month basis and in Q1, we delivered 58%. As previously stated, we define Rule of 40 as revenue growth rate plus adjusted free cash flow margin. With Q1 in the books and as we look forward to the future, let me briefly review some of our recent organizational changes. As Rob noted in his prepared remarks, I'm excited to be taking on the new position of President, Finance and Operations. In this capacity, my role will expand to other strategic areas of the business, including, but not limited to, Coupa's international operations and Coupa Ventures, which was announced last week. Part of my responsibility will also, of course, be to support Tony in his new role as CFO. Most of you on the call know Tony quite well, having interacted with him frequently since Coupa's IPO in 2016. Now it's with great pleasure that I pass the call over to Tony Tiscornia, CFO of Coupa Software, who will provide guidance. Congratulations, Tony. Take it away.
Tony Tiscornia : Thank you for the kind introduction, Todd. Congratulations to you on your new role as well. I look forward to continuing our work together on many fronts. For those on the call, I've worked closely with you -- with many of you over the last 5 years, and I look forward to our continued interactions in my new capacity as CFO. For those of you I've not spoken with, I look forward to meeting you soon. With that, let's turn to guidance. Let me begin by laying out some of the background for our Q2 and full year outlook. First, as Todd noted earlier and as evidenced by our Q1 results, the economic environment is continuing to improve and head towards post-pandemic normalcy. However, with many employees in the global economy still working remotely, the continued absence of business travel and the uncertainty posed by potential variants, we're clearly not out of the woods quite yet. And many customers and prospects continue to operate with some level of caution. While we expect it to be a few more quarters before returning to historical norms, we're happy to see things trending positively. As Rob noted, we entered Q2 with our largest pipeline ever, positioning us well for the balance of this year. Next, our guidance once again assumes no billings or revenue contribution for Q2 or the full year from Coupa Travel Saver. We anticipate that business travel should begin to recover in the back half of the year. Moving on to Coupa's supply chain design and planning. As you know, our strategy is to align the legacy LLamasoft business model with Coupa's, optimizing for long-term success. This is undoubtedly the right strategy for our business but will continue to create near-term headwinds in our financial results until the transition is complete. Success in executing on this plan will cause supply chain revenue to be lower for all of fiscal '22 and most of fiscal '23. As a reminder, there are 3 items causing this impact: number one, converting term license contracts to SaaS; number two, transitioning professional services work to partners; and number three, the impact of the 50% opening deferred revenue haircut from Q4. With these considerations as a backdrop, let's get into the numbers. We expect total Q2 revenue to be $162 million to $163 million. This includes subscription revenue of $142 million to $143 million and professional services revenue of approximately $20 million. For calculated billings on a trailing 12-month basis, we expect to exit Q2 at a year-over-year growth rate of approximately 39%. We expect the Q2 non-GAAP gross margin of approximately 66%. The lower Q2 gross margin is attributed to several items, including our expectation that we will have success converting supply chain term licenses to SaaS and professional services arrangements to partners as well as continued efforts on synergy alignment. We expect the Q2 non-GAAP operating loss of $2 million to $3 million and a non-GAAP net loss of $4 million to $5 million, resulting in a non-GAAP net loss per share of $0.05 to $0.07 on 73.5 million weighted average basic and diluted shares for the quarter. We expect Q2 adjusted free cash flows of approximately $5 million. For the fiscal year ended January 31, 2022, we expect total revenue of $681 million to $684 million. This includes subscription revenue of $591 million to $594 million and professional services and other revenue of approximately $90 million. This full year guidance reflects our assertive assumption that we will be successful in converting legacy LLamasoft term license contracts to SaaS. The interesting dynamic is that, to the extent we are not successful with these conversions, our revenues will be higher. Moving down the income statement. For fiscal '22, we expect a non-GAAP gross margin of 66% to 67%, a non-GAAP operating loss of $2 million to $7 million and a non-GAAP net loss of $10 million to $15 million, resulting in a non-GAAP net loss per share of $0.14 to $0.20 on 74 million weighted average basic and diluted shares for the year. We reiterate our expectation that adjusted free cash flows will be up on an absolute dollar basis year-over-year for fiscal '22. That concludes our prepared remarks. We'd now be happy to take your questions. Operator?
Operator: . Your first question comes from the line of Stan Zlotsky from Morgan Stanley.
Stan Zlotsky: Congratulations to both Todd and Tony on your new roles, very well deserved for both of you gentlemen. Question from our end, can you just walk us through the outperformance that you saw in the quarter from LLamasoft? Obviously, very strong result there, $18.5 million contribution versus the -- a little under $10 million, I think, that you guys were guiding to for the year -- I mean for the quarter, what drove that? And is it fair to say that some of that outperformance came from licenses components of LLamasoft, and that's why that drove the big billings beat in the quarter and maybe the guide for the year is not going up as much as a result?
Rob Bernshteyn : Sure, Stan. Good to hear from you. So let me just take a step back and kind of look at LLamasoft in a broader context. I think what we're seeing probably is that our overall strategy and our M&A component of that strategy is working, and it's working really, really well. We are able to really -- we've been able to really create a machine here for integrating acquisitions from all areas of people, process and technology, and Coupa supply chain design and planning is certainly no exception to that. I will tell you, looking forward, you just look at our pipeline, I mean, we have nearly 2 dozen opportunities that are going in both directions as part of our cross-sell efforts. So there's clearly a great interest in a unified business spend management suite. Now when we look at Q1, there are numerous deals that closed and closed at higher price points due to that synergy. And that included our overall platform as well as Coupa supply chain design and planning as a part of that.
Tony Tiscornia : And Stan, let me touch on the full year guide, which you mentioned as part of your question. This is Tony. So of course, Q1 was a really strong quarter to kick off here. While we're seeing an increasingly positive trend, we're still going to operate with cautious optimism, which is reflective of our DNA as a company. Most employees in the global economy are still working remotely. Business travel really hasn't restarted. So there's not much face-to-face interaction between businesses. Another thing you mentioned that you called out is that we did have some several million dollars of LLamasoft license revenue in Q1 that didn't convert to subscription. The majority of the conversions we tried to make in Q1 were successful, but there was some. As you know, our full year model incorporates a pretty assertive assumption on making those conversions. So to your point, not having converted some of these in Q1 will, to some degree, reduce subscription revenue in the out-quarters for the year.
Operator: Your next question comes from the line of Brian Peterson from Raymond James.
Brian Peterson: I'll start by saying congratulations to Rob and Tony -- or I'm sorry, to Todd and Tony. But -- so Todd, maybe one for you, just on the Ventures side of things. I'm curious, as you think about the swim lanes for BSM, is that opportunity going to focus more on kind of what's in the existing swim lane today or maybe thinking about a broader platform and building out maybe adjacencies or forward-looking things? Anything you can comment on there?
Rob Bernshteyn : Hey, Brian, let me actually take that. This is Rob. So the idea is absolutely adjacencies and not common swim lanes. We have this really core belief at Coupa that we want to focus on what is truly our core competencies, and we're not trying to step into other places where we can't leverage those core competencies. But at the same time, we're completely committed to building a large business spend management ecosystem. We've been strengthening partnerships in periphery business spend management areas for quite a while, and we plan to continue doing so. And this vehicle of Coupa Ventures that I'll be partnering with Todd on is another way for us to broaden that reach, and most importantly, deliver more and more meaningful value to our customer community, which is exactly what this is all about.
Operator: Your next question comes from the line of Chris Merwin from Goldman Sachs.
Chris Merwin: Let me pass along my congrats to both Todd and Tony as well. I wanted to ask about the transaction monetization opportunity for Coupa Pay. I think the last update we had, there were around 200 customers. And I just want to make sure I understand, like are they all paying transaction-based monetization fees today? And are you able to give us a rough sense for the size of that revenue stream relative to subscription?
Rob Bernshteyn : Sure. Thanks. So let me first say that in the broader terms, when we look at Coupa Pay, we're definitely executing to the arc where we've been wanting it to grow for some time. And there's no question about that. And that's clearly seen in -- first of all, that it's the fastest-growing new module that we ever had as a company, and we're now up to about -- roughly about 240 customers. I also mentioned in my prepared remarks that we had just in this last Q1 over a 30% attach rate with Coupa Pay. And what we're seeing, to your question, is that customers are taking a thoughtful, methodical approach to ramping transactional spend. So the mix of both recurring subscription and transactional spend continues to be maintained. We look forward to sharing more about that with the group at our coming Analyst Day as well.
Operator: Your next question comes from the line of Siti Panigrahi from Mizuho.
Siti Panigrahi: I guess Siti Panigrahi. Thanks for taking my question and congratulation to both of you. I want to ask you about the BELLIN’s acquisition. And how successful have you been selling -- cross-selling BELLIN’s to your customer in the U.S.? And it would be helpful, like how much was the contribution from BELLIN this quarter?
Rob Bernshteyn : Well, I can tell you that, without question, the treasury area is becoming more and more pronounced much like the broader areas of business spend management. I mean customers trying to figure out how to best manage spend in this environment. And we're seeing customers joining us globally at different speeds and at different camp but joining us globally to address their treasury issues. And that as well still feels very much in early stages of where we're going to be taken in coming years.
Tony Tiscornia : And this is Tony on the financial contribution question. So as you guys know, we've had BELLIN, now Coupa Treasury, for over a year. And the financial contribution from that has been fairly consistent. But it's -- we're not going to break that out at this point.
Operator: Your next question comes from the line of Michael Turrin from Wells Fargo Securities.
Michael Turrin: I'll both echo my congrats and then just ask the question around it, too. Todd, in moving over to President bringing Tony up to CFO, I think we're familiar with both of you for quite some time, but what does that help open up from an organizational perspective? It sounded like there was some commentary around international and maybe more focused efforts there, but it would just be great to hear more around the rationale from an org perspective and what that helps enable for Coupa.
Todd Ford: Yes. It really enables me to spend time executing on operational initiatives and tight partnership with Rob and the other leaders at Coupa. So international is certainly one area, Coupa Ventures. But there's many other strategic things that we're working on here that it frees me up to really go move the needle from an operational perspective that drives long-term shareholder value. But very much in partnership with Rob, the executive team and the broader leadership team at Coupa as well.
Operator: Your next question comes from the line of Terry Tillman from Truist Securities.
Terry Tillman: Thanks for taking my question and I will also echo everyone else's congratulatory comment, Todd and Tony. My question just related to -- I think -- I don't know if it was from Todd or Rob, maybe I need some coffee, too, but it was a great comment about new business was -- doubled year-over-year. What I'm curious about, and maybe we could bring Tony into this as well, you all gave guidance for how to think about TTM billings, I believe. What is the progression on new business bookings as you see it going into 2Q and 3Q and then 4Q? Do you think it's kind of -- you're still just kind of going along just the moderate improvement in 2Q, 3Q and then there's more of a seasonal big uplift? Any way to frame how you could see this new business bookings part of the equation continue to improve?
Rob Bernshteyn : Thanks, Terry. Well, look, I would say conditions in general, continue to improve steadily. I mean we're trending positively here, coming out -- hopefully, coming out of the pandemic, right? And we're being really -- continue to be really thoughtful in terms of our investments and our people and our platform while remaining disciplined, as you come to expect from us, thoughtful growth, disciplined approach, mindful of cash flow and profitability, but at the same time, attacking what is a really big total addressable market. And I think one of the biggest themes that we're seeing is that true cloud is really starting to hit what I would call a critical mass as far as unpacking the back office. When we got this company going over a decade ago, that was one of the big hypothesis we had is that we will be able to go into that back office, begin to unpack the back office with key use cases and then create a unified platform that really pull them together in a way that's going to drive incredible value for customers in every area, from supply chain, from transactional spend and every financial spend to treasury and other areas we touched on. And I could tell you, we feel that there is strong momentum coming out of this pandemic. And we feel really well positioned going forward as you think about the coming quarters and the coming years.
Operator: Your next question comes from the line of Brent Bracelin from Piper Sandler.
Brent Bracelin: Was hoping to drill down on the enterprise activity in the quarter. If I look at billings growth overall in billings ex LLamasoft, you saw some moderation there again this quarter. But you did talk about kind of a record pipeline. So could you provide additional color on the pipeline build in Q1? Any signs that large deal pipeline is starting to come back yet with the reopening? Are you seeing any early signals that enterprise sales cycles could begin to shorten here? Or do we have to wait a couple more quarters as early leading signals that things comes back?
Rob Bernshteyn : Yes. No, great question. Well, first, let me say, we have the largest pipeline we've ever had going into Q2. I mean there's no question about that. We're clearly seeing strong and increasing customer as well as prospect engagement. Our average recurring revenue per deal has gone up now every quarter -- virtually every quarter for 49 quarters. And that includes obviously, a wide mix of mid-market customer and a lot of mid-market customer volume. That's part of that, right? So it continues to be a healthy mix. And many of the largest deals that we were seeing kind of in the -- when COVID hit and maybe when it slowed down are starting to either come to fruition or into those late stages of the pipeline. So it feels quite healthy. But I have to say at the same time, we're exiting the pandemic. We're on what I would call hardening firmament, but that firmament is not rock solid because of questions around the pandemic. So we continue to be thoughtful in the way we plan and invest and run at what is just clearly an incredible market and incredible opportunity.
Todd Ford: Yes. The one thing I would add, too, when you look at the year-over-year compares for Q1, obviously, last year was pandemic -- or at least starting to come in at the end of Q1. But we also had a benefit last year of about $7 million to $8 million because 2 years ago, we had our strongest May ever. And we bill 30 days in advance. So that is one thing that impacts the year-over-year compares as well that I'm not sure people remember.
Operator: Your next question comes from the line of Brad Sills from Bank of America Securities.
Brad Sills: Congratulations, Todd and Tony, on your new roles. I wanted to ask about the spend under management metric. It looks like it had a nice sequential increase, $2.6 trillion. I think we were about $2.3 trillion last quarter. So incremental about $300 billion. I think, normally, you see kind of a sequential downtick Q4 to Q1 in that metric. And so I guess my question is, is that the right math? Are we seeing a change there? And what's driving that? And what kind of a leading indicator is that metric for the business?
Rob Bernshteyn : Sure. That's a great question. I think that's roughly the right math that you described, but yes, now at $2.6 trillion. It's -- when you zoom out, it is, of course, very strongly correlated to customer value. It's correlated to our ongoing growth from a revenue perspective, et cetera. But it has bumps here and there based on go-lives, staging of go-lives, existing customers expanding. So to really understand that metric, it's worth stepping back to look at maybe 3- to 4-quarter-an-annual arc to really understand how that's going. And it's very, very healthy. So it's a great sign of adoption. And it's really the one we share with all of you, but there are many more adoption and engagement measures we look at. And those 2 look very, very promising in terms of our ongoing development of the business.
Operator: Your next question comes from the line of Alex Zukin from Wolfe Research.
Alex Zukin: Rob, maybe for you. When you think about the momentum in the business coming out, clearly, we've talked about a pipeline now for some time. But are you starting to see the enablement of more strategic conversations around supply chain kind of start to drive up ARPU or conversations around expansion activity? And then maybe for Tony, any chance we could get the RPO or CRPO numbers or just a general sense around the net expansion metrics so we can calibrate some of the bookings momentum?
Rob Bernshteyn : So Alex, thanks, and congrats on your new role as well. So I could tell you that the conversations around supply chain design and planning, that personally had over the last 6 months really at a different level than we've historically had as a company, which I find to be incredibly promising. I mean there's not one executive I've talked to that isn't thinking about how to simply apply information technology to the problem of effectively plan and design how they spend money and how to manage their supply chain, right? And what we are seeing as it pertains to our business is that the vision of having these capabilities, operational procurement and supply chain design on the front end and the ability to drive sourcing events based on design plan is something that they really want, it's something that they're willing to pay us fairly for. And if you look at, again, Q1, there are numerous deals that we closed, frankly, at fair higher price points due to their awareness of the current synergy and the anticipated integration synergy of our platform. And I'm really excited in particular about our September release, which is dedicated to suite synergy that's going to unlock even more of that on the ground for our customers.
Tony Tiscornia : Thanks, Alex. And on RPO, tomorrow, we'll file our 10-Q. And the number that will be disclosed in there is $973 million of RPO exiting Q1. From a gross renewal and dollar-based expansion perspective, our results this quarter were pretty much exactly the same as last quarter, so flat quarter-over-quarter, typical historical range.
Operator: Your next question comes from the line of Matt VanVliet from BTIG.
Matt VanVliet: Thanks for taking my question and congrats on the new roles, guys. As you look at kind of the back half of the year here from a pipeline perspective and projecting out what business travel and maybe T&E budgets overall look like, I guess, how much upside is there potentially from seeing a little bit more of an earlier return than you're currently anticipating? And are you getting any commentary from customers that want to do an implementation kind of all at once and would like to wait and see when their T&E budgets are coming back to include that in a broader BSM upgrade cycle?
Rob Bernshteyn : Well, we're definitely seeing a dynamic of accelerated digital transformation where customers are looking to do not only multi-modules in tandem, but in many cases, frankly, utilizing Coupa and the savings we could deliver for them from our transactional spend to actually pay for some of the other initiatives that span beyond business spend management. But certainly, in the travel area, look, we anticipate, obviously, an increase in business travel in the second half of the -- towards the tail end of the year. And we're particularly excited about the new T&E offering we're going to be taking to market by the end of the year. And we hope to capitalize on that not only this year, but obviously, in coming years, for sure.
Operator: Your next question comes from the line of Joseph Vafi from Canaccord.
Joseph Vafi: Congrats to Tony and Todd. And I guess, Rob, so you don't feel left out, congrats on the quarter. But Rob, I think I heard in your prepared, it sounded kind of like a pretty big statement, and I don't want to hold your feet to the fire. It sounds like you said you expect ultimately that almost all your customers would adopt the Pay module, and I was wondering what your thoughts are behind that statement?
Rob Bernshteyn : Sure. Sure. Well, look, I mean, first of all, if we just look back, as I mentioned, over 30% attach rate in just Q1 is very promising. Secondarily, what's promising is the interest in all areas that we've already taken the market around Coupa Pay, right? So virtual credit cards, we're seeing really good adoption of that, particularly in enterprise. It was the first capability in Pay we launched. Dynamic discounting is being uplifted by our customers. And then we also, of course, have the core of Coupa Pay, which is invoice payments, where we're seeing good adoption in mid-market and moving up to larger companies as we continue to develop that offering. So our hope is that every customer is going to use every one of our modules that we have today and ones we'll develop in the future as part of an integrated Business Spend Management platform, and that's what we're working on day in and day out.
Operator: Your next question comes from the line of Daniel Jester from Citi.
Daniel Jester: I just wanted to see if you could expand on your comments about supply chain fragility. Maybe this is off of Alex question a bit as well. I guess, first, is this indirect or direct procurement which folks are focused on? And then secondly, for the customers that you're speaking to, who is leading this transformation within the organization? Is this being run out of a procurement office? Or if it's -- or is it coming out of finance or operations? And I ask because if it's being led in other parts of the organization, how do you make sure that Coupa is at the table as these teams build or rebuild their supply chains?
Rob Bernshteyn : No. Those are great questions. I mean, first of all, it's -- we're seeing it both in direct and indirect and in the intersection of direct and indirect. I mean the most obvious example in indirect is PPE equipment obviously and in a host of other areas, categories of spend. And we're definitely seeing that, obviously, on the direct side, the need to create different scenarios for supply chain design to react to very quickly shifting needs for different suppliers given the lack of access to existing ones. We're seeing it on both sides. In terms of the buying center, it still tends to be within the CFO, which certainly touches the CFO, and very often begins to touch the Head of Supply Chain for an organization or Head of Operations. So we're having those conversations. But what's most exciting is that we're seeing these more and more sponsored by CEOs realize that the unpacking of the back office is underway and the tools and capabilities they have in that back office are really, really subpar based on their digital transformation agenda. So not only be able to go in there and offer a key component of digital transformation, but also being able to save them a lot of money quickly so they can actually pay for more of it is really a double win that we're seeing them take advantage of, and we're in front of it.
Operator: Your next question comes from the line of Peter Levine from Evercore ISI.
Peter Levine: I will add my congrats to Tony and Todd. Yes. I guess, Rob, to touch upon your prepared remarks on LLamasoft, what's the decision for some of these customers to not transition and perhaps stick with license? Like what are you doing now to kind of encourage or incentivize these customers to switch? And then second, what's the opportunity, I guess, to leverage the partner ecosystem to perhaps maybe accelerate the cloud transition?
Rob Bernshteyn : Great. Great questions. Well, first of all, we're having very strong success thus far, I would say, converting customers from their term licenses to SaaS, but we're doing that upon renewal. So that's the time to do that. And the move is happening not -- it's not so much a stick. It's much more of a carrot. The offering -- the cloud offering is incredibly robust. It's incredibly configurable. It's incredibly easy to use. And it takes advantage of the same core data model that they've been used to in their on-premise offering. So that's a really wonderful thing. And in terms of the partners, you bet. I was just on a call this morning with some of the most senior folks and one of the largest, if not the largest, systems integrator in the world talking about the army of systems integrators we're going to continue to certify on utilizing this offering to address the supply chain design and planning opportunities. So right on with that question.
Operator: Your next question comes from the line of Bob Napoli from William Blair.
Bob Napoli: Thank you and congratulations to Todd and Tony. So if you just going into the Investor Day, just wondered if you're going to give any updated thoughts on midterm targets or you've had targets out there. You may have done a few very large acquisitions you're larger than you have historically, and so maybe just a focus of the Investor Day. I know Coupa Pay is part of it. And then any thoughts around -- that you might introduce around medium or midterm or long-term targets?
Todd Ford: Certainly, one of the things we've prided ourselves on here at Coupa has been consistent, and we fully intend to give midyear and long-term targets updated as we have in our past 2 Analyst Days that we've done since going public. And as you noted, of course, there's been a lot of activity here, exciting on the business front. So for Coupa Pay and other important aspects of the business, we will have a healthy list of updates for folks.
Operator: Your next question comes from the line of Ryan MacDonald from Needham.
Ryan MacDonald: Congrats, everyone. Rob, wanted to ask you about sales productivity and how you're feeling about that, especially as things are reopening. You mentioned earlier on the call in your prepared remarks that business travel has obviously not quite come back yet. But as you're looking at your pipeline and what's flowing through and progressing through that pipeline, how are you starting to think about your sales reps and how you're going to offer, say, a hybrid approach between virtual and in-person to try to maybe push things through the pipeline more quickly?
Rob Bernshteyn : Sure. Well, number one -- without a doubt, the number one priority is the safety of our people and then the safety of any of the customers -- the prospective customers we'd be visiting. And that guides anything and everything we do. Secondarily is -- the second guiding principle is flexibility and the thoughtfulness of entrusting our colleagues to make the best business decisions for our business and balance with their needs. So we've already made some exceptions around business travel. But at the same time, as the coming months progress, we'll, of course, look to make those more flexible and actually begin a process of broader reentry for our colleagues here, likely to be something like roughly 25% or so during the summer and then getting to roughly 50% as we start the fall. All of that, of course, pending what happens with the pandemic, and of course, in accordance with local regulations, local requirements around the pandemic.
Operator: Your next question comes from the line of Andrew DeGasperi from Berenberg.
Andrew DeGasperi: I wanted to ask one on competition. Specifically, one of your competitors last week launched the network for businesses, and they also made some enhancements to their travel and expense product. Just curious to know if you can -- you have any comments on that. And generally, are you seeing the competitive landscape becoming more -- intensifying at this stage? Or is it similar as it was in the past?
Rob Bernshteyn : Yes. I would say, as I've said since 2016 and in our first earnings call, the only competition we have in this market is ourselves. There's a whole host of players trying to do a whole host of different things. We're pursuing a vision of helping companies optimize every dollar that they spend, helping them see the business spend management vision that we have aligned with it and get incredible value in working with us. And we're incredibly proud of what we've been able to achieve for now thousands of customers in that area. And we think it's green light ahead to push as hard as we can and as thoughtfully as we can into building our way into this huge TAM that we're embarking on. So nothing’s changed, and nothing is really concerning us around the ecosystem that they talked about.
Operator: Your next question comes from the line of Steve Koenig from SMBC.
Steve Koenig: I rarely do this, but I'm going to ask a 2-part question this time. First one is, did you guys -- I wasn't sure, did you reiterate the $30 million to $35 million in LLamasoft revenue contribution and $10 million in prior set for the year? And can you just provide us a little more color on the -- got the $18.5 million in billings from LLamasoft. But how did they do revenue-wise and also billings-wise relative to your expectations? And then if I may, I just wanted to toss one in for Rob. In placement in the supply chain, are you seeing any sort of impact on your sales motions, positive or negative, any differential impact on verticals? And I'll stop there.
Rob Bernshteyn : Can you just repeat? Did you say different vertical approaches to supply chain? I didn't quite -- you -- I didn't hear all the questions.
Steve Koenig: Inflation that is starting to tick up, how are you seeing that reflected in your customer conversations?
Rob Bernshteyn: Well, we're seeing that, but much greater than that is we're seeing their incredible awareness that where they were operating from a supply chain perspective was incredibly inefficient as compared to where they could be. Agile, non-agile, maybe customers who are doing supply chain designs and plans that were 2 to 3 years out without the ability to course correct based on changing dynamics. And so they're just revisiting that entire sector of their organization and saying, "How can we do this better?" And what they're discovering, with no joke, are analysts largely using spreadsheets or really outdated approaches to this. And when we're able to go in there and model for them a literal digital twin of what could be with various different scenarios and applying AI that can take into account third-party as well as external data fees to figure out how to create a supply chain for the future before any truck gets on the road, before any product gets produced, before any bill of materials goes to sourcing. They're awakened to the opportunity here, and we're right there in front of them with an incredible platform. And as mentioned earlier, a developing ecosystem of systems integrators with best practices and advice that can use this platform to help them, we think we're in a really unique spot.
Tony Tiscornia: And let me touch on your question about the revenue contribution and the guidance pertaining to Coupa supply chain. So of course, as Rob noted, we're working to win a big market. And internally, we don't track acquired finance entity financial statements independently once they're integrated. We sell Coupa as one integrated platform, and we manage our financials that way as well. As you noted, we did provide the all-in billings number for LLamasoft for Q1 in our prepared remarks. Billings is really right now the cleanest metric to share given the transition we're working on in the LLamasoft revenue model. And really, billings is typically the best indicator of where the business is going. I'd add, clearly, our M&A strategy seems to be working. As we increase the breadth and depth of our platform with a mix of organic development and M&A, our average deal size has continued to increase over time. And we position ourselves as the dominant leader in the market. And with respect to revenue -- to guidance, excuse me, our guidance includes all the things known to us at this time. Granted, our guidance is based on a desired outcome we're trying to achieve, and we're making assertive assumption that we will successfully and rapidly convert term licenses to SaaS and shift professional services to partners. But there's a possibility revenue comes in higher if it takes more time to execute this transition. But yes, we're applying the same sort of assumption in our full year guidance.
Rob Bernshteyn : Yes. And if you look at the guidance, right, the subscription revenue, we passed through. And there was some more term licenses that went into professional services and other. So that obviously increases revenue in Q1 by a few million dollars. But -- and on the flip side, it reduces the subscription revenue in the out-quarters. And if you look at the professional services and other guide, that is really, as Tony just mentioned, the desired outcome. So we don't want to put higher numbers in that line, at least from a guidance perspective because, quite frankly, we don't want them to convert to term licenses. And we do want to push as much as we can to the partners out there. So that's why you've seen from a guidance perspective for the year that the professional services is basically flat because of the outcome we're actually trying to achieve, which is in the best long-term interest of shareholders.
Operator: At this time, there are no further questions. This concludes the conference for today. We do thank you all for joining us. You may now disconnect.